Operator: Good day, and thank you for standing by. Welcome to the Fourth Quarter 2022 Halliburton Company Earnings Conference Call [Operator Instructions]. Please be advised that today's conference is being recorded.  I would now like to hand the conference over to your speaker today, David Coleman, Senior Director of Investor Relations. Please go ahead.
David Coleman: Hello, and thank you for joining the Halliburton Fourth Quarter 2022 Conference Call. We will make the recording of today's webcast available on Halliburton's Web site after this call. Joining me today are Jeff Miller, Chairman, President and CEO; and Eric Carre, Executive Vice President and CFO. Some of today's comments may include forward-looking statements, reflecting Halliburton's views about future events. These matters involve risks and uncertainties that could cause our actual results to materially differ from our forward-looking statements. These risks are discussed in Halliburton's Form 10-K for the year ended December 31, 2021, Form 10-Q for the quarter ended September 30, 2022, recent current reports on Form 8-K and other Securities and Exchange Commission filings. We undertake no obligation to revise or publicly update any forward-looking statement for any reason. Our comments today also include non-GAAP financial measures. Additional details and reconciliation to the most directly comparable GAAP financial measures are included in our fourth quarter earnings release and in the quarterly results and presentation section of our Web site. Now I'll turn the call over to Jeff.
Jeff Miller: Thank you, David, and good morning, everyone. Halliburton finished the year strong with solid financial and operational performance in both divisions and both hemispheres. Halliburton's execution in 2022 demonstrates the earnings power of our strategy, and I expect this earnings power to strengthen in 2023 and beyond. Let's jump right into the 2022 highlights. We delivered full year total company revenue of $20.3 billion and operating income of $2.7 billion. Adjusted operating income grew 70% compared to 2021 with improved margin performance in both divisions. Our full year international revenue grew 20% over 2021, and our revenue and operating income increased each quarter in 2022. I am pleased with the international growth and margin progression Halliburton demonstrated this year despite a second quarter exit from our Russian business. Our full year North America revenue increased 51% over 2021 with improved margins driven by activity and pricing gains. Both our drilling and evaluation and completion and production divisions grew revenue and margins this year. The Drilling and Evaluation division generated full year operating margins of 15%, an increase of 320 basis points over 2021. The steady expansion of D&E margins demonstrates the global competitiveness of our D&E business. Our Completion and Production division posted 18% full year operating margins, a year-over-year increase of 290 basis points, driven by activity and pricing improvements. We generated strong free cash flow of $1.4 billion, retired $1.2 billion of debt, maintained capital spending within 5% to 6% of revenues and ended the year with $2.3 billion of cash on hand. Finally, our service quality performance excelled in 2022. Nonproductive time improved by 7% over 2021, which drove the highest ever uptime across our business. Execution is at the heart of who we are and our results are a testament to our employees' continued commitment to superior service quality. I'm pleased with the fourth quarter results. Revenue grew 4% and operating income grew 15% sequentially. Margins increased in both C&P and D&E divisions and in both hemispheres. Cash flow from operations in the quarter was $1.2 billion and free cash flow was $856 million. Building on the strong foundation of execution, today, I am pleased to announce the following shareholder return actions: first, our Board approved an increase in our quarterly dividend to $0.16 per share in the first quarter of 2023, representing a 33% increase from last year; second, we have resumed share buybacks under our existing Board authorization of approximately $5 billion and in the fourth quarter of 2022, bought back shares totaling $250 million; finally, our Board approved a capital return framework that we expect going forward to return at least 50% of our annual free cash flow to shareholders through dividends and buybacks. These actions demonstrate Halliburton's confidence in our business, customers, employees and industry outlook. Before we continue, I want to take a moment and thank the Halliburton employees around the world who made these results possible. Our success this quarter and throughout 2022 was a direct result of your hard work and dedication. I thank you for your relentless focus on safety, operational execution, customer collaboration and service quality performance. Now let's turn to the macro outlook where everything I see today points towards continued oil and gas tightness. On the supply side, in the US, an increased spend of almost 50% and activity growth of nearly 30% yielded a production increase of about 5%. Given the increased spend required to grow and replace production, I expect activity to remain strong and service intensity to increase through 2023. I see the same supply side challenges in the international markets. One indicator being that despite OPEC's 2022 production quotas, several members did not meet their goals. On the demand side, we saw the resilience of oil and gas demand throughout 2022, even as central banks raised interest rates to combat inflation. I expect oil and gas demand to remain strong. As we start 2023, I also expect China's reopening to further increase demand. It's clear to me that oil and gas is in short supply and only multiple years of increased investment in both stemming declines and reserve additions will solve short supply. I believe these investments will drive demand for oilfield services for the next several years. The unique feature of this up cycle, as I see it, is the investor driven return discipline by both operators and service companies, which I expect drives a longer duration cycle and translates into years of increasing demand for Halliburton services. Now let's turn to Halliburton, starting with our performance in the international markets. We successfully executed our strategy to deliver profitable international growth through competitive technology offerings, improved pricing and selective contract wins. International revenue grew 20% year-on-year with strong growth and margin expansion from both divisions. This gives me confidence in the earnings power of our international strategy. In 2023, we expect international activity to grow at least mid-teens with most new activity coming from the Middle East and Latin America. As this up cycle continues, I believe that we will see substantial growth in all international markets, both onshore and offshore, led by development activity and increased spend at the wellbore. This is excellent news for Halliburton. About half our revenue comes from international markets. We have leading positions in key well construction product lines and a strong geographic footprint. I'm excited about the growth and profit opportunities that will come with the adoption of our new drilling technology platforms. Our iCruise drilling technology, iStar logging while drilling platform and LOGIX automation capabilities. Each of these technologies are in different stages of implementation, and we are already seeing benefits. Our iCruise directional drilling system represents about half of our rotary steerable fleet while drilling about 70% of our global footage. It is a key contributor to increasing international profitability. Our iStar logging while drilling platform now delivers high definition measurements closer to the bit and deeper into the formation. While early in its rollout with only 600,000 feet logged, the iStar platform directly complements the iCruise directional drilling system. Finally, LOGIX automates drilling with iCruise and iStar. With more than 7 million feet drilled in 20 plus countries the LOGIX platform reduces operational risk and delivers wells reliably. Turning to North America. We had a terrific year. Our performance demonstrated our strategy to maximize value in North America through capital efficiency, improved pricing, differentiated technology and alignment with high quality customers. In 2022, our North America revenue grew 51% year-over-year, while revenue in the fourth quarter was flat sequentially due to weather related downtime late in the year. Looking ahead, we expect strong activity and anticipate customer spending to grow by at least 15% in 2023. The market for equipment is tight. Lead times for new and replacement equipment remain long and service companies remain disciplined. Our completions calendar is fully booked and pricing continues to improve across all product service lines. Against this constructive market backdrop, Halliburton will outperform with our unique strategy to maximize value. We see strong demand for our Zeus e-fleets with several repeat customers contracting additional fleets. Zeus is a proven design with a strong operational track record. Our new automated fracturing platform, Optiv, fully automates equipment operation, reduces maintenance and extends component life. We are in the early innings of this rollout, having proven it over 15,000 stages, and I expect it to drive higher capital efficiency. Finally, our SmartFleet intelligent fracturing system is gaining significant traction with customers. SmartFleet data helps customers answer key questions such as the existence of flow barriers, well interference, parent-child performance and depletion, all to improve completion performance. These are a few examples of how technology maximizes value in North America. Each example delivers better margins either by reducing capital cost or increasing capital velocity and in many cases, both. Halliburton is unique and is the only integrated services company to have a strong presence in both North America and international markets, a strong execution culture and differentiated technology. We will continue to sharpen our value proposition to collaborate and engineer solutions to maximize asset value for our customers. I am confident in Halliburton's strong long term outlook. This is the best setup and market outlook for oilfield services om Halliburton that I have seen in a very long time. Our exceptional financial performance this year is a clear result of the execution of our strategic priorities to maximize value in North America, deliver profitable international growth and drive capital efficiency. I expect Halliburton to continue to deliver financial outperformance. Now I will turn the call over to Eric to provide more details on our financial results. Eric?
Eric Carre: Thank you, Jeff, and good morning. Let me begin with a summary of our fourth quarter results. Total company revenue for the quarter was $5.6 billion, a 4% increase over the third quarter while operating income was $976 million, an increase of 15% over third quarter operating income. Operating margin for the company was 17.5% in the fourth quarter, a 460 basis point increase over operating margins in the fourth quarter of 2021. These results were primarily driven by increased global activity, pricing and year end product and software sales. Our fourth quarter reported net income per diluted share was $0.72, an increase of $0.12 or 20% from the third quarter. Our 2022 full year adjusted net income per diluted share nearly doubled from 2021. Beginning with our Completion and Production division. Revenue in the fourth quarter was $3.2 billion, a 1% increase when compared to the third quarter, while operating income was $659 million, an increase of 13% when compared to the third quarter. Despite weather related downtime late in the year, C&P delivered an operating income margin of 20.7%, the highest operating income margin since 2012. This was due to improved pricing, service efficiency and activity mix in North America land as well as increased activity in international markets. In our Drilling and Evaluation division, revenue in the fourth quarter was $2.4 billion, an increase of 8% when compared to the third quarter, while operating income was $387 million, an increase of 19% when compared to the third quarter. These results were driven by higher year end software sales and an uptick in international activity. Operating margin increased 210 basis points above Q4 2021, which demonstrates the global competitiveness of our D&E business. Moving on to geographic results. Our international revenue increased 9% sequentially due to solid year end sales, pricing gains and activity increases. In North America, revenue in the fourth quarter was $2.6 billion, a 1% decrease when compared to the third quarter. This decrease was primarily driven by weather related downtime in North America land. Latin America revenue in the fourth quarter was $945 million, a 12% increase sequentially due to higher activity in Mexico and across the region. Europe/Africa revenue in the fourth quarter was $657 million, a 3% increase sequentially driven by higher completion tool sales, drilling activity and well intervention services across the region. These increases were partially offset by lower activity in Norway. Middle East/Asia revenue in the fourth quarter was $1.4 billion, a 10% increase sequentially, primarily resulting from higher software sales and drilling and evaluation services across the region. Now I'd like to cover some additional financial items. In the fourth quarter, our corporate and other expenses was $70 million. For the first quarter, we expect our corporate expenses to be slightly lower. Net interest expense for the quarter was $74 million, a slight decrease due to higher yields on cash balances and debt retirement in September. For the first quarter, we expect this expense to remain approximately flat. Other net expense for the quarter was $60 million, primarily related to unfavorable foreign exchange movements. For the first quarter, we expect this expense to be slightly lower. Our normalized effective tax rate for the fourth quarter came in at approximately 21%. Based on our anticipated geographic earnings mix, we expect our first quarter effective tax rate to increase roughly 150 basis points. Capital expenditures for the fourth quarter were $350 million with our 2022 full year CapEx totaling approximately $1 billion. Turning to cash flow. For the full year, we generated $2.2 billion of cash from operations and delivered approximately $1.4 billion of free cash flow. As a result, we ended the year with approximately $2.3 billion in cash. Next, I'd like to provide a few more details about our capital return framework. First, an important pillar of our capital framework is to maintain CapEx between 5% and 6% of revenue. I believe the spending level is appropriate and supports our earnings growth and free cash flow generation over the next several years. Second, we expect to return a minimum of 50% of free cash flow to our shareholders in the form of dividends and share buybacks. Our Board of Directors increased our quarterly dividend by 33% to $0.16 per share, effective with a dividend payment in March 2023. Finally, in the fourth quarter, we repurchased $250 million of shares and we have remaining authorization of approximately $5 billion. We were clear about our goals to reduce debt and increased cash returns to shareholders, and I am pleased that we've announced these actions today. I believe Halliburton's capital return framework provides visibility for investors and affords us the flexibility to pursue acquisitions and strengthen the balance sheet. Now let me provide you with some comments on how we see the first quarter. As is typical, our results will be subject to weather related seasonality and the roll-off of year end product sales, which will mostly impact our international business. As a result, in our Completion and Production division, we anticipate sequential revenue to be essentially flat with the fourth quarter while margins will drop between 75 and 125 basis points. In our Drilling and Evaluation division, we expect revenue to decrease in the low to mid single digits sequentially while margins are expected to be down 25 to 75 basis points. I will now turn the call back to Jeff.
A - Jeff Miller: Thanks, Eric. Let me summarize our discussion today. Oil and gas is tight and only multiple years of increased investment will solve short supply, which translates into years of increasing demand for Halliburton Services. The announced dividend increase, share buybacks and Halliburton's new capital return framework provides shareholders with clarity and consistency on how we expect to return cash to shareholders. This exceptional financial performance is a clear result of our execution of Halliburton's strategic priorities. I expect Halliburton to continue to deliver financial outperformance, strong free cash flow and shareholder returns. And now let's open it up for questions.
Operator: [Operator Instructions] Our first question comes from David Anderson with Barclays.
David Anderson: So Halliburton's international business is now half of overall revenue. Middle East has been a big part of that growth over the years, it was up 10% this quarter. Just wondering if you could just give us a little bit more insight into kind of your views on that market over the next kind of couple of years. So based on activity is how it's trending and the ramp up is going on, I guess, in the near term, is it reasonable to think the growth should sort of stay at these levels the next several quarters? And also, if you could highlight some of the countries where you see most of the growth coming from over the next several years, including kind of where you think you're best positioned in terms of footprints or product lines in the Middle East?
Jeff Miller: Look, I'm really excited about international growth. I think I said in my call, north of 15%, which clearly, I expect it will be north of that and should continue actually to expand, I think, over the next few years just because we will -- it takes longer to get traction internationally, get things contracted. And so really excited about what we see. With our international business being about half of our business today, that indicate or demonstrates that we have strong footprint sort of everywhere where we think it's important and our technology, as I described, rolling out. So clearly, it's got strong application in the Middle East and Latin America, which we kind of saw this year but it's the same technology that's applicable in all corners of the world. And so I think we're early in the rollout a lot of this technology and that's only going to help strengthen our international business. As we see activity grow, I expect our share of that to grow and improve margins as we focus on profitable international growth.
David Anderson: And if I could shift over on the US side, there's been a lot of recent talk about activity levels slowing down in the US. The rig count has drifted down a bit in recent weeks, been some weather, as you highlighted, and there's also some concerns out there in the natural gas market. I also know how any E&Ps have announced any spending budgets this year. So I was wondering if you can just help us out with a little bit of visibility on the market. Kind of what are your customers saying about kind of how activity is going to play out into the spring? And then based on that, kind of how do you see sort of the dynamics of that pressure pumping market in terms of capacity and the tightness for 2023?
Jeff Miller: Look, North America is going to, in my view, will surprise to the upside. Our outlook is north of 15% growth. Clearly, we outpaced that last year and that's what I said last year. I don't have any clients that are not -- that are -- that plan to get smaller, they all plan to grow. And I think that North America has a dynamic of the more -- the more you grow, the more the market has to work in order to maintain even the growth given decline curves. And so I expect we see increased service intensity throughout '23 and likely beyond, the market is extremely tight for frac equipment and the supply chain still backed up. And so I don't see -- I see discipline in the marketplace and more importantly, I see sort of required discipline based on equipment being unavailable. So the more activity we see then ultimately, the more price we will see. And so I am very positive on '23 North America. So I think the the concerns are misplaced and rig count likely moves up actually as DUCs get blown down.
Operator: [Operator Instructions] Our next question comes from Arun Jayaram from JPMorgan.
Arun Jayaram: Jeff, clearly, one of the themes this earnings season has been the inflection in Middle East spending in offshore. I was wondering, Jeff, if you could talk about Halliburton's portfolio and competitive position in both the Middle East and as well as offshore? And how do you think you're positioned in this cycle versus last?
Jeff Miller: Look, we're better positioned than we've ever been as Halliburton, both from a technology perspective that I described examples of that. But clearly, that's not all of the technology we've got in the market today and from a footprint standpoint. So a lot of that build out was done prior cycles, it's still there and ready to go. So I feel very good about our geographic footprint, our technology advancement that we've made and our team. I mean we've just got an exceptionally strong team today internationally. So I feel very confident certainly from that perspective. And when we look at where our business is, offshore is good for us. I think that about 40% of our international business is offshore today. And so that's a good market for us. And I think another nuance as we look out into next year, certainly and likely beyond, is the sort of emphasis on development activity as opposed to exploration that maybe we've seen in prior cycles. And I think that's very consistent with where operators are from a capital discipline standpoint and just producing more barrels sooner, which leads us to development. And that is a place where we have leading positions in a number of the service lines that allow that to happen, so meaning drilling fluids, completion tools. And so I think this is going to be a great even better market for Halliburton.
Arun Jayaram: And maybe a follow-up for Eric. Eric, I wanted to get your thoughts on cash conversion in 2023. And just wanted to think about just working capital needs to support the growth this year? And just any broad thoughts on collections, particularly for international -- some of your international and NOC customers?
Eric Carre: So I mean, broadly speaking, we're looking at the cash generation profile in 2023 as being fairly similar to 2022. So quite a bit weighted toward the back half of the year. Looking at things overall, I mean, the big buckets, obviously, we'll see significantly increased net income driven by growth in our revenue, improvements in our margins. On the CapEx side of things, we finished 2022 on the low end of our range of 5% to 6%. We were at 5%. When I look at '23, we will be at the higher end of that range, primarily driven by supply chain constraints and extended lead time in our supply chain that we talked about on prior calls. And the third element in terms of working capital, again, our business will continue to grow, so we will continue to see some headwinds in terms of working capital essentially and also the impact of growing internationally, which tends to be more bigger consumers of working capital than when we grow our business in North America. So the way all of that is going to land is a little north of 20% growth in terms of free cash flow over our 2022 performance.
Operator: Our next question comes from James West with Evercore ISI.
James West: So Jeff, in North America, I want to start there. In North America, your customer base and the majority of the customers really have three options, you can grow, you can shrink, you can go international. Where do you see, in your conversations with the bigger shale operators -- and you mentioned earlier, you think there could be a surprise to the upside in North America. How do you think they're thinking about the North American market, especially given what's going to be inventory constraints at some point here, whether it's three years, five years, seven years, we don't really know but at some point on wells and what they plan to do over the next couple of years?
Jeff Miller: Well, I expect that within sort of expectations -- within sort of capital discipline levels, I expect growth is really the only path for most of these companies. And commodity price very supportive, the international growth, very, very difficult, and shrink, not really an option. So I think that we'll see increased -- initially increased service intensity, that's the first step and that clearly we benefit from increasing service intensity. The second, if we want to go out 10 years, that's a bet against technology and that's not a bet I'm willing to make. I mean, in fact, I'm very confident in what technology will do. There is a lot of oil in North America and we're already seeing the impact of work harder producing more barrels. And then also that's one of the reasons as Halliburton the SmartFleet, as an example, I talk about it a lot, but that's one of the tools that operators can take. I expect over time and start to solve how to make more barrels and more productivity. And so as we invest a lot of R&D dollars into North America, we're kind of unique in that fashion and we try to put those dollars into what we think are most impactful. So it's not a bigger X or a smaller Y but more a function of what is the technology that I think and the company thinks will really unlock productivity over time. And I think those kind of tools in the hands of our operators, I mean, they are incredibly competitive, smart, technically deep. And I think it's more a matter of getting tools in their hands to allow them to unlock what 10 years down the road looks like.
James West: Okay, that's great perspective there. And then if I could just switch to the international side of the business. At this point, are we in a market that is still price driven or have we switched now to a market where it's about availability and service quality?
Jeff Miller: Well, I don't think you have one without the other, James, but I would expect -- my view is service quality and having equipment, quality equipment, is more and more important every day, that ultimately drives prices well. We spend a lot of time focused on how we execute and deliver service quality and our service quality feel very good. And so we are a beneficiary of that. As the market gets tighter, they start to get to the -- the market starts to pull equipment out, but I expect that sort of where we are, we've got a very good equipment portfolio and technology that we're bringing to the market and all of that certainly benefits us.
Operator: Our next question comes from Neil Mehta with Goldman Sachs.
Neil Mehta: Thanks, Jeff, for the framework around capital returns, and that's kind of where I want to focus my questions here today. Can you talk about why you thought at least 50% of free cash flow was the right number? And then talk about how you -- the definition of that calculation. I think it will be cash flow from -- cash flow from operations inclusive of working capital minus CapEx before M&A, but just to make sure we're on the same page.
Jeff Miller: Go ahead, Eric.
Eric Carre: I think your view is correct, yes. And the 50%, I mean, there's nothing magic in the 50% per se. We think that it's a number that gives some level of certainty in terms of what we're going to return to shareholders while giving us a lot of optionality to continue to invest in our business, to continue to make bolt-on acquisition or to make acquisitions that are complementary to our product line business. And also give us optionality over the next few years to continue to work on strengthening our balance sheet.
Neil Mehta: And that was my follow-up around capital returns. So as you think about the buyback, how do you think about approaching it? Do you want to take a more ratable approach or do you want to be countercyclical in the way that you prosecute it? And when you talk about M&A, are we talking about bolt-on type of transactions that are -- or do you see a scenario where we could be looking at larger scale things?
Eric Carre: So let me start with M&A maybe. So our philosophy there is extremely focused on adding technology. So it's a bit of a build versus buy approach to complementing our technology budget. It is a bit opportunistic at time depending on what's available and the opportunities that we have. Over the years, we've also invested in complements like smaller businesses that we can easily add to existing product lines. So that's kind of the general view that we have on technology. From an overall strategy standpoint, and I'll let Jeff jump in. But we are where we need to be in terms of the businesses we want to compete in at this stage. So going to the other part of your question, Neil, around buybacks. So I'm not going to go into a lot of details, but generally speaking, we look at buybacks as being level loaded through 2023, which will obviously top off in terms -- in order to make sure that we meet our overall target of 50% or more. So we're thinking about buybacks really as a mechanism to return cash to shareholders. We're not really trying to trade in our shares.
Jeff Miller: Let me just add to that as well. I mean I think the -- no surprises from us, our outlook on M&A hasn't changed, and it will stay that way. As we look at the capital allocation, we also want to continue, as Eric mentioned, opportunistically take out debt. We don't want to be sloppy about it, but kind of in the current market that we see, we have the opportunities to do things that are -- that make returns for the company, but we want to be crystal clear around what our minimum return was. It's clearly -- we'll work through that. But I would expect that by setting that minimum, I think it gives clarity to the marketplace that we will only do things that we believe add meaningful returns to the company.
Operator: And our next question comes from Luke Lemoine with Piper Sandler.
Luke Lemoine: Jeff, your 4Q EBITDA margins firmly hopped in that kind of low 20% range here, basically at 14 levels, which was the target for '23, totally get there are some year-end sales there that skewed us higher in 4Q, but you're on the cusp of hitting 14 margins on an annual basis in '23. You and Lance kind of gave us a two year outlook almost two years ago. And I just wanted to see if maybe you could refresh this or expand upon it and how you see margins evolving over the next couple of years?
Jeff Miller: When we did that a couple of years ago, when we looked at published estimates, clearly, we thought they were too low. And so we've made some clear commentary and an effort to correct that. Now as we look at the published REIT estimates today, they seem about right. And so I don't want to try to continue to do that over and over. And what I am is super excited about our outlook. Margins from here are up, revenue is up. I'm as confident in our outlook and our business as I have ever been. But I just want to be clear, in Q2 of '21, we wanted to be clear that we were pointing out what we felt was missing in the future Street estimates. And today, as I said, I think published Street estimates today are about right for the years ahead, both top line and profitability.
Operator: Next question comes from Chase Mulvehill with Bank of America.
Chase Mulvehill: Jeff, I guess a quick follow-up or a question, maybe we can kind of dig in a little more on the international side. We spoke a little bit about this at dinner, but we get a lot of questions around confidence in multiyear growth on the international side. Obviously, we saw a strong growth last year and expectations are for another year of strong growth. I guess, could you speak to what you see for continued growth on the international side, once you get past '23 and kind of what gives you confidence that we will continue to see growth on the international side post this year?
Jeff Miller: Well, I would just start with the underinvestment that we've seen for the last roughly eight years and really haven't caught up with that. And so if I just look broadly at kind of reserve replacement and availability, that portends a lot of years of recovery and we're in the early stages of that in a lot of ways. It takes time to get international projects up underway, a lot has to be renegotiated with different partners. And so I think that what we see building is the tender backlog and these are tender backlogs that go beyond a year, well beyond a year and that's consistent with sort of the slower recovery in spend that we typically see internationally. But I'm confident that that's basically what's required to recover and produce enough oil to meet demand. Beyond that, specifically dialog with customers, target set by countries, outlooks that nearly all international countries that produce oil have targets that are certainly above where they are today, less clarity about how they get there, which actually really does indicate more service intensity in terms of how they get there, which is more activity certainly for us.
Chase Mulvehill: If I can pivot a little bit and follow up on some of the North America questions. Obviously, here, you've stated you talked about there's probably upside to North America that you don't see pricing pressure unfolding in pressure pumping, supply chain constraints, probably upside to demand. But we do get a lot of questions around pressure pumping and the risk of pricing. And really, those questions revolve around kind of lower tier fleets and kind of investors kind of asking about who has the high end fleet to the lower end fleet. So I don't know if you could take a moment and just talk about how many -- what percentage of your fleets are kind of Tier 2 diesel where if you were to see some pricing pressure, that's maybe where you would see it if you would see any?
Jeff Miller: Look, I don't see that in our business today at any level of equipment. In fact, all equipment is called for. Clearly, we have a strong environmentally -- a low emissions fleet as well that's probably at the higher end of price deck. But even at the bottom end of the price deck, our equipment -- we've systematically replaced equipment over time. And so we're really pleased with the fleet that we have and even a Tier 2 dual fuel equipment is in demand, most certainly. But what I'm most impressed with actually is sort of the strong market pull that we see around our e-fleets. We've got strong customer demand and especially I'm seeing repeat customers, which is terrific, where it's not one but two to the same customer are all fully contracted. And I think that's just an indication of the strength of our technology, it's proven, proven technology. I believe it's a better mousetrap. And quite frankly, we have a very strong IP portfolio and I think that is going to continue to be important.
Operator: Our next question will come from Roger Read with Wells Fargo.
Roger Read: Congratulations and well done on the quarter. I'd like to come back to some of your guidance and expectations for the international market. As we look at '23, you said kind of 15% but bias to the upside of that. I was just curious what what finished the year strong in '22, maybe better than expectations and sort of feeds into that expectation of, let's say, at least mid-teens to higher as we think about international in '23.
Jeff Miller: Look, I think it's sort of like everything is pointing at busier '23 than '22. That comes in the form of tender pipeline, that comes in form of sort of backlog increasing, product backlog that we've seen strengthened throughout the year and all of that sort of point -- I mean all of it points to '23, maybe even into '24. Discussions with customers, sort of the intensity of customers, view of staying busy and producing more barrels sooner rather than later. It's a very favorable market. And so it just gives me a lot of confidence in the outlook for '23 and particularly from our standpoint where we sit with technology and our global footprint.
Roger Read: And then on the supply chain side, not just yours, but the one you see for the industry. Any areas you think continue to have, let's just call it, headwinds broadly as we look at '23, something that would slow project development or acceleration in '23?
Jeff Miller: Yes, I don't see anything that slows things down. Are there things that have extended lead times today, we're still working through some of that. But I don't think anything meaningful gets in the way of getting started. I think we still see inflation in the marketplace. So that's one of the ways that we saw for getting things. But I don't think that it's going to be a headwind necessarily. We're starting to see rigs come back. There will be a lot of work around getting those ready in some places. But clearly, motivated customers and there will be some -- as I said, some inflation to get all of that done, but I don't see those as headwinds.
Operator: Our next question comes from Scott Gruber from Citi.
Scott Gruber: Jeff, you mentioned a very full completion calendar here in the US. A quick question on that topic. Does that pertain to the fleets that the new e-frac fleet will be coming in to replace. My question relates to, is there work already lined up that would keep the legacy fleet fully deployed or those fleets need to be bid on to new jobs?
Jeff Miller: Look, no, we've got everything as spoken for in '23, whether replacement or not, I think over time, e-fleets, replace fleets, but they don't do it initially. And so there'll be some period of time where fleets take the place of legacy fleets, but that's not what we see in ‘23, we see everything busy in '23.
Scott Gruber: Got you, that's encouraging. And then turning to D&E margins, it's another nice year of expansion there. And obviously, you guys have had internal initiatives that structurally lift those margins, but you also have a number of tailwinds today from pricing to mix. How should we think about any incrementals this year you’re willing to provide some color there? And overall, how should we think about where you could take D&E margins over the medium to longer term. I was looking back at our model and your D&E margins basically match where they were last cycle. So think about whether you guys can get to the 20% plus margin that you witnessed back in the late 2000s if this up cycle sustains?
Jeff Miller: Look, I think that I've always said, we've invested in technology and D&E in a meaningful way. We expect those margins to continue to move up. As you just mentioned, they have consistently moved up and that's on the back of technology and footprint and where we are, and I expect that trajectory to continue beyond where we are today or where we were last cycle. And so the outlook would be to continue to stack year-on-year quarters that are better than the last year. And so I have a lot of confidence in our outlook for D&E where they could go '23 and beyond.
Operator: And our next question, one moment, is from Stephen Gengaro from Stifel.
Stephen Gengaro: So I think two things for me, if you don't mind. Can you talk a little bit on the domestic pressure pumping side. Obviously, I know you guys are pretty much sold out for the year. What are you seeing in the market as far as new build supply demand fundamentals as we look three, four, five quarters out, because I know you guys are -- you got your finger on the pulse there, I'm just curious what your take is on the overall market growth or lack thereof in supply?
Jeff Miller: Look, I think the market is certainly undersupplied today. And I think that attrition is happening every day even if it doesn't happen necessarily at the fleet level, but it does happen at the unit level. And part of the way that got solved in 2022 was through industry consolidation. So that's one method of dealing with attrition is bringing in more inventory and equipment. And then the other, as I look out throughout the year, all of '23, I mean, half the capacity additions that we've heard about are electric. And I think what's being realized in the field is electric is harder to do than it looks. And from our perspective, we have proven technology, we have technology with a track record, and we have a very strong IP portfolio around frac. And so I think that combination gives me a lot of confidence, a, in where we are and also that the market won't be oversupplied.
Stephen Gengaro: And just as a follow-up, we've seen consolidation in the US pressure pumping space. And some of the larger competitors are doing things to kind of make themselves have a higher revenue content at the well site, right, different types of vertical integration or well site integration. Have you seen any change in the competitive landscape at the well site? I mean, obviously, now everybody is busy. But just in general, has there been any change in the way your competitors are competing with Halliburton?
Jeff Miller: No, I don't see any change there. when I think about sand -- you're talking about sand, and when I think about sand, we've got very good suppliers in the sand business. We work well with them. And then I think about competitive advantage, I mean, real competitive advantage. What are things that we do to create competitive advantage. And we want to spend our dollars on things where we do have clear competitive advantage, which is in this case, pumping technology and then drilling technology, software, things where we clearly have competitive advantage. I view sand clearly as an input, it's an important input, we need access to it but at the same time, don't want to overinvest in that part of the business.
Operator: Thank you. I would now like to turn the conference back to management for closing remarks.
Jeff Miller: Thank you, Catherine. As we close out today's call, let me just close out with this. In this strong market for oilfield services, I am confident that Halliburton will execute on its strategic priorities and deliver financial outperformance. I look forward to speaking with you next quarter. You can close out the call.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.